Heather Wood: Good morning, everyone. Welcome to IHG's 2019 Full Year Results Presentation. I'm Heather Wood, Group Financial Controller. And I'm joined this morning by Keith Barr, our Chief Executive Officer; and Paul Edgecliffe-Johnson, our Chief Financial Officer.As you can see we're holding today's results presentation by webcast and we'll be taking you through some slides. You can find the link on our corporate website and on our stock exchange announcement. So if you haven't already, please do log on so you can follow the slides. The replay of this presentation will be available on our website.So let me remind you that in the discussions today the company may make certain forward-looking statements as defined under U.S. law. Please refer to this morning's announcement and the company's SEC filings for factors that could lead actual results to differ materially from those expressed in or implied by any such forward-looking statements.I will now hand the presentation over to Keith.
Keith Barr: Thanks, Heather, and good morning, everyone. In a moment, I'll talk about how we are executing against our strategic initiatives and accelerating growth and Paul will take you through our financial performance in 2019. However, I'd like to start by addressing the evolving situation around the outbreak of the coronavirus.Having led the China business and lived there for a number of years, it's tough to see the impact this outbreak has had on so many people's lives. We're working closely with our hotel teams, local authorities and the government to provide our full support wherever we can. And our top priority remains the health and well-being of our guests, colleagues and partners on the ground.One thing I do want to say is how proud I am of our colleagues and how they have stepped up and reacted to this. Our people across the region are doing an incredible job in very difficult circumstances, including our InterContinental Hotel in Wuhan where we are hosting medics and response teams. All of our hotels around the world have been provided with the support and guidance they need to respond and we have strong processes in place to help us manage this challenge.From a group perspective, Greater China is an important part of our future and we see a compelling growth story for the longer term, with the region representing around 30% of our current global pipeline. However, today it is a smaller part of our business overall, representing 15% of our open rooms and less than 10% of our operating profit.There will clearly be some impact on our business, which we started to see coming through in late January. We are still building a clearer picture, but we are currently seeing less travel in the region, which is leading to reduced occupancy and around 160 of our 470 hotels are closed or partially closed. Paul and I will be happy to take follow-up questions when we get to Q&A. So let me now move on to our 2019 performance.In 2019, we made excellent progress against our plans to deliver industry-leading net rooms growth over the medium term. Our net system size growth of 5.6% was our strongest in over a decade, driven by a record number of room openings in the year.Global RevPAR declined 0.3%, reflecting the impact of ongoing unrest in the Hong Kong market, increased supply growth ahead of demand, particularly in the U.S. upper midscale segment where we are weighted and uncertainties caused by geopolitical tensions with the U.S.-China trade discussion and Brexit, just two examples.Against this backdrop, our focus on accelerating net system size growth delivered an underlying operating profit increase of 6% and an adjusted EPS increase of 3%. Our high-quality fee streams and disciplined use of capital continue to generate significant cash flow, allowing us to increase our total annual ordinary dividend by 10%.Our $125 million efficiency program is mostly complete with these savings being wholly reinvested back into our business, in line with our strategy to achieve industry-leading net rooms growth and drive stronger commercial performance and returns for our owners.To that end, we have made further progress during the year to evolve and expand our brand portfolio, sharpen our operations loyalty and owner offer and ensure we put our global scale and resources to best use, all of which I'll talk more about later on.For now, I'll hand over to Paul to take you through our full year results.
Paul Edgecliffe-Johnson: Thank you, Keith, and good morning, everyone. First, starting with our headline results from reportable segment. Revenue increased 8% to $2.1 billion and operating profit increased 4% to $865 million. On an underlying basis, so excluding current year acquisition, individually significant liquidated damages and at constant currency, we grew revenue 6%.Underlying revenue from the fee business were 2% and operating profit grew 5%, driven by growth in our net system size and disciplined cost control. Fee margin was up 80 basis points. I will come back to the drivers of this shortly. Adjusted interest, including charges relating to the system fund, increased by $18 million to $133 million.This is lower than my previous guidance of $150 million, principally due to the non-cash revaluation of contingent consideration from acquisition, which we now exclude from our adjusted numbers, given its volatile nature. As expected, our reported tax rate increased to 24%. In aggregate, this performance enabled us to increase our adjusted earnings per share by 3%.Looking now at our levers of growth. We added 65,000 new rooms to the system, a record level of opening. At the same time 18,000 rooms were removed, as we continue to focus on the long-term health and quality of our established brand. These additions and removals brought net system size growth to 5.6% or 5%, excluding the rooms added from the Sands partnership in the Macau market. We signed 98,000 rooms, taking our total pipeline to 283,000 rooms, with 40% currently under construction.RevPAR was slightly down for the year or flat, excluding the disrupted Hong Kong market. This RevPAR performance, combined with 5.6% net system size growth, resulted in a 2% increase in underlying fee revenue. When looking at fee revenue, both year-on-year rooms growth and comparable RevPAR are good proxies to understand how growing our net system size and revenue per open room translates into incremental fee revenue over time.However, they do not reflect several factors that impact in the year fee growth: the phasing of openings and removals, changes in relative brand and geographic mix, and the ramp-up of newly opened hotels.Therefore, we have also shown total RevPAR growth and total rooms available on an underlying basis, as these have a more linear relationship with fee revenue growth. More detail is in the appendix.I will now take you through our 2019 regional performance in more detail. Starting with the Americas, RevPAR was down 0.1%, with rate growth more than offset by occupancy declines. RevPAR in the U.S. was down 0.2%, with performance in line with the segments in which we compete.In the fourth quarter, the softness in small groups business, which I noted throughout the year, continued. This along with an increase in room supply in the Upper Midscale segment resulted in an occupancy-led RevPAR decline of 1.7%. I will come back to this shortly.Underlying fee business revenue was flat or up 1% after adjusting the prior year for the $9 million of marketing assessments we previously disclosed. Underlying fee operating profit was up 4%, largely driven by growth in fee revenue from incremental rooms and a continued focus on maintaining an efficient cost base.In our reported financials, we took a $50 million impairment charge relating to the Kimpton management agreement acquired in 2015. This non-cash charge reflects changes in market RevPAR assumption and a number of original hotels exiting the brand.The impairment test does not take into account the considerable value generated since the acquisition, including the 40 hotels we have signed, the near 30 hotels we have opened and the expansion of the brand to 14 new markets internationally. More details on this are in the appendix.Turning to the investments we've been making in development resources to increase our signings and openings pace. During the year, we opened 26,000 rooms, our highest in eight years with nearly two-thirds in the Holiday Inn Brand family. With a continued focus on quality, we grew our overall Americas estate by 2.8%, a marked acceleration from 1.8% in 2016.At the same time, we signed a further 33,000 rooms into our pipeline, down from the previous year given the tighter signings environment and annualizing the pent-up demand we experienced in 2018, following the launch of avid.Using available industry data, it is clear that we have grown our share of signings in the U.S. Upper Midscale segment through 2019 by over 200 basis points, extending our leadership position in this fast-growth segment.Coming back now to the RevPAR environment in the fourth quarter. We continued to be impacted by the reduced level of demand in small groups business, which Holiday Inn and Crowne Plaza have a higher weighting to with group-driven revenues for those brands down some 5% in the fourth quarter and around 3% for the full year. In part, this is driven by demand weakness in certain sectors of the economy that are contracting such as automotive.Meanwhile others, such as professional services performed, well mirroring trends in the overall U.S. economic activity. Increasing preference from owners, lenders and guests for Upper Midscale hotels means that Holiday Inn and Holiday Inn Express are competing in a segment where supply growth is now over 3%.This highlights the attractiveness of our market-leading position in this high-return segment, but led to an occupancy-driven RevPAR decline as supply growth slightly outweighed demand growth. This will stabilize in time as new supply is absorbed and demand continues to reach new highs.Moving now to Europe, Middle East, Asia and Africa where RevPAR was up 0.3% for the year. In the UK RevPAR was up 1%, with 3% growth in London, and a 1% decline in the provinces. In the fourth quarter, we saw a 2% RevPAR decline in the capital.High supply growth and political unrest continued to weigh on demand in the Middle East where RevPAR was down 3% for the year. This RevPAR growth coupled with strong net rooms growth of 5.8%, drove underlying fee revenue up 2% and underlying fee operating profit up 5%.Owned leased and managed lease operating profit increased $11 million, driven by solid trading at a number of hotels outside the UK and the benefit from partial usage of the IFRS 16 lease liability for our German leased hotels, which I previously guided to.For the UK lease portfolio, trading conditions were increasingly challenging through the second half of the year. The Brexit uncertainty and reduced UK consumer confidence meant the fourth quarter in particular was well below our expectation. This had a minimal impact on our reported results, as the $17 million of lease top-up payments we made on the estate under IFRS 16 are charged against the balance sheet liability.They are similar in nature to payments made under guarantee arrangements and are able to be clawed back over time dependent on portfolio performance. Based on this weakened outturn, we took a non-cash $81 million impairment relating to the UK portfolio deal.On completion of the deal to acquire the leased business, we were required to establish its fair value and recognize on the balance sheet goodwill, property plant and equipment, lease assets arising from adoption of IFRS 16 and the fair value of contingent consideration payable. Since the deal industry growth forecasts have reduced and we have re-evaluated our projections resulting in this charge.As the same forecasts are used to value the contingent consideration, we recorded an offsetting $38 million exceptional credit as part of a fair value adjustment on this liability. More details on this can be found in the appendix.Adding these 12 hotels to our U.K. portfolio has as hoped been a catalyst for the launch of the voco brand in EMEAA and Kimpton's international growth. We now have 12 voco hotels open and a further 21 in the pipeline with some of our most valuable deals such as Dubai, directly linked to the showcasing of the brand through the U.K. portfolio.The Kimpton, being able to demonstrate to owners the product in the London market has helped us in signing up numerous high-value hotels, we now have in the pipeline outside of the U.S.Finally, moving to Greater China, where we continued to outperform the industry. RevPAR across the region was down 4.5% for the year or broadly flat excluding the Hong Kong market, where trading conditions have been challenging.Underlying revenue was up 2% and underlying profit up 16%, which included the $5 million fee income loss from the Hong Kong market which we guided to in October. This is more than offset by new business and disciplined cost control. We opened 24,000 rooms including over 50 Holiday Inn Express hotels. A further 36,000 rooms entered our pipeline providing a clear runway for future growth. This was our best performance on record and included 76 franchise hotel signings for Holiday Inn Express.Turning now to fee margin and our group efficiency program. As we have talked about before, we identified $125 million efficiency savings delivered through simplifying our organizational structure making it leaner and flatter, outsourcing more non-core activities and introducing increased levels of automation. These savings have provided additional capacity for reinvestment into our strategic initiatives. This will drive industry-leading net system size growth fueling future revenue growth and future margin accretion.Fee margin for the year was up 80 basis points, despite being held back by an operating loss from the acquisition of Six Senses in February last year. Excluding this and the one-off impact relating to marketing assessments in 2018, fee margin was up 160 basis points.Moving on now to cash flow. Our cash-generative business has enabled us over the past five years to generate on average over $500 million of free cash flow per year. For 2019, free cash flow of $509 million was down on last year, primarily the result of a $75 million increase in cash tax as 2018 benefited from a U.S. tax refund. In the year, we paid over $700 million in dividends to shareholders, $500 million of which we announced in 2018. After the acquisition of Six Senses, net debt finished the year at $2.7 billion.Turning to CapEx. We spent gross CapEx of $265 million and net CapEx of $211 million. Our medium-term guidance remains unchanged at up to $350 million gross per annum. We expect our recyclable investment and system fund capital investments to net to zero over the medium term, resulting in net CapEx of $150 million per annum.As well as using cash to reinvest behind our long-term growth, we continue to generate sufficient funds to support growth in our ordinary dividend. We have announced today that the 2019 total dividend will increase by 10%.Looking ahead, our long-term funding sources are secure. We have a staggered maturity profile with our first bond not due until 2022. We also have access to a $1.4 billion revolving credit facility for additional cash requirements. Altogether, our financial capacity remains strong and we are well placed to withstand any market uncertainties.Turning now to our strategy for uses of cash, which remains unchanged. Our first focus is to reinvest capital to drive growth. Secondly, we want to generate sufficient funds to support growth in the ordinary dividend which is well covered. Lastly, where there is further cash available which is truly surplus, we return this to shareholders as we have demonstrated over the past 16 years. Our efficiency program is enabling us to reinvest and drive long-term sustainable growth and we remain committed to returning surplus funds to shareholders.Thank you. And I'll now hand you back to Keith.
Keith Barr: Thanks, Paul. I'd like to first spend some time looking at the fundamentals of our industry. It's a fast-changing dynamic sector that continues to see growing demand with industry revenues up 5% over the last three years. Within this, we're seeing a shift to scale brands. The top three branded global players of which IHG is one, now have 17% of the open rooms globally and notably 44% of the active pipeline. That's an incredibly strong position to be in, and it means we will collectively continue to take share and increase our relative scale against the rest of the industry.In terms of the key drivers, we know that hotels are an attractive asset class and owners want to partner with the big branded players. With our scale and continual investment behind our brands, such as lower build costs for our new prototypes, we are helping our owners to maintain their high returns even with rising cost pressures.Consumer trends are also shifting with increasingly more demand for brands, which can offer a mix of consistency and distinctive high-quality experiences. The innovations we're rolling out across our existing brands continue to resonate with guests and each one of our newer brands target an underserved segment from both an owner and guest perspective.Furthermore, consumers are increasingly looking for a seamless technology experience and have a growing preference for sustainable practices both key focus areas in our strategy. Its considerations like these that are informing all the actions we're taking to enhance our offer right across both the guest journey and the life cycle of a hotel.Remember that two years ago we set out our strategy to make our model work harder and ensure we remain an industry leader for years to come. Whilst we still have much to achieve, we have already made important progress and are now a very different company.Our teams are deployed against key growth initiatives, such as repositioning our portfolio, strengthening our loyalty program and moving to a cloud-based hotel technology solution.Key to all of this has been the significant restructuring of our organization, which has allowed us to free up capacity and drive efficiencies that can be reinvested in our future growth.These investments, coupled with strong industry drivers, leave us very well placed to capitalize, for the long-term. We are on track to achieve our ambition of industry-leading net rooms' growth, over the medium-term.Over the last three years, we've accelerated our rate of growth, from around 3%, to 5.6%. This has come almost entirely from our established brands, led by our Holiday Inn Brand Family, which delivered a record year of openings in 2019.Also driving this performance has been our investments in hotel life cycle management, which have accelerated the pace hotels can move from signings to openings. And then ramp-up all of which help maximize owner returns and our attractiveness as a partner.As ever, while we are focused on growing our system, it's important to highlight our commitment to protecting the high-quality nature of our entire estate. And so we continue to remove underperforming hotels to protect the reputation, of our brands globally.Our five newer brands, Avid, Atwell Suites, voco, Regent and Six Senses, all enhance our future growth prospects. Each one taps into a deep pool of demand that will allow us to create scale position, with a differentiated guest and owner offer.You'll recognize excuse me -- you'll recognize our motto on this slide. And it's by making this work harder, through our strategic investments, that we can drive growth and deliver financial performance.Before taking each part in turn, I want to touch on our commitment to operate a responsible business, which underpins the model and sits at the core of our company. How we operate responsibly on a daily basis and take decisions to grow in ways that are considerate of the world around us, is a topic of discussion with an increasingly broad set of stakeholders.Colleagues, guests, owners, suppliers, investors and partners all expect companies to make responsible and sustainable choices, using their scale as a force for good. And that's how we see it for IHG too.Our commitment to responsible business underpins our entire strategy and company culture. And we continue to focus on ways to bring that to life across our hotel estate, and thousands of communities worldwide.We've made further important progress. Last July, we were the first global hotel company to announce that our entire portfolio would switch to bulk-size, bathroom amenities in 2021. And we're now seeing this great initiative being adopted by some of our peers.Today, we've announced two more commitments, the first being to reduce our carbon emissions, through a 2030 science-based target. And the second is that, we've also made a formal commitment to implement the recommendations, of a task force, on climate-related financial disclosure. And we will be developing a road map for the coming years.We've also made a number of important pledges, becoming a signatory of the CEO Water Mandate, marking our commitment to the CEO Action for Diversity and Inclusion, and becoming a member of The Valuable 500.Our responsible business agenda is something that we will continue to push and challenge ourselves on. And I look forward to talking you through our plans, beyond our current targets, later this year.Turning to the other elements of our strategic model, we continue to strengthen our IHG Rewards Club loyalty program, which contributed around 46% of room nights in 2019.Looking at loyalty contribution on a room night basis, rather than a room revenue basis, better represents the full value of our loyalty program, capturing revenue delivered to our hotels for both, qualified and redeemed stays.Ensuring we continue to build lifetime relationships with our most valuable members is a big focus. And in 2019, we added a number of world-class partnerships to our offer, alongside progressing important trials that will enhance the value of the program for both, guests and owners.When it comes to enhancing revenue delivery, we're making significant investments in our digital and technological capabilities that deliver lower-cost revenue to our owners. And help engage customers along the guest journey.In 2019, we began piloting new functionality for our guest reservation system, which will continue this year. Using the investments our owners have made in our seamless WiFi solution IHG Connect, we launched IHG Studio, which allows guests to stream content directly to the TVs, or pay for services with their loyalty points.Our award-winning mobile app is delivering more revenue year-on-year to our hotels, and helping drive further meaningful uplift through our revenue management for-hire program, which is now in more than 3,500 properties.Outside of our direct channels, we've used our scale position, to renegotiate more favorable OTA terms on behalf of our owners, allowing them to drive, lower-cost revenue into their businesses.You'll recognize our enhanced brand portfolio, on this slide. So let me talk about what we're doing, with some of them in a little more detail. Our Holiday Inn Brand Family is the growth engine of our business.We've made significant investments to ensure it remains the preferred choice, for our guests and owners. The rollout of our Formula Blue hotel design for Holiday Inn Express has continued at pace.Over 1,600 open and pipeline hotels in the U.S. and Canada have either adopted or committed to the new room and public space designs.And we're already seeing uplift in guest satisfaction and owner returns. We're also taking some of these designs to Europe. And the successes have helped form a blueprint, for enhancements to our other brands too.For example, last year, we launched our new prototype for Holiday Inn, which brings fresh and modern designs, to our new hotels across the Americas. With a 15% reduction in the building size, the concept brings our successful Open Lobby public space and guest room designs together in a more efficient and flexible way helping create better returns for our owners.We've talked before about the success of Open Lobby in Europe and it's now being adopted in more than 90% of the estate, generating meaningful uplift in guest satisfaction and increased food and beverage revenue for our owners. Combined these types of investments led to a record year of openings in 2019 and notably to our share of openings in the U.S. increasing by 3 percentage points over the last three years.Our extensive expertise in mainstream segment has enabled us to successfully launch two new brands in the high-opportunity growth areas. Since September 2017 we have signed more than 200 avid hotels with more than 80 under construction or with planning approved and 10 open achieving strong guest satisfaction scores.Last September, we also launched franchise sales for Atwell Suites with 10 properties signed in 2019 and a further 11 applications approved. The first hotels are expected to break ground this year will open in 2021 in markets such as Charlotte, Phoenix, Denver and the San Francisco Bay Area.Turning now to the Upscale segment and Crowne Plaza, we signed 29 hotels in 2019 our highest figure in a decade and opened 6 flagship properties around the globe showcasing our new room and public space designs. In the Americas, we are committed to improving the quality of our estate and have removed 23 hotels over the past 3 years.At the same time our owners are making significant investment into public space and guest rooms which is critical to the brand's success. Those that have completed the renovation such as our hotel in Atlanta which you can see here are growing RevPAR at double the industry rate with meaningful guest satisfaction uplift.This investment alongside more modern service enhancements are crucial to unlocking Crowne Plaza's full potential in the region will help bring the estate closer in line with the excellent performance in EMEA and in Greater China where the brand is ranked top for guest satisfaction within its segment.The acceleration of our boutique Hotel Indigo brand continues at pace with our best-ever year for signings for the brand and with 16 new countries now secured into its pipeline. Over the next 5 years the estate is set to almost double in size. Staying in Upscale, we've seen strong interest in voco, since launching the brand back in June 2018, signing 33 properties including locations like Cypress, Bangkok and Johannesburg.After a strong start in EMEA, we plan to continue accelerating the brand's expansion into more markets globally with an expectation to grow to more than 200 hotels over the next decade. Let me now focus on luxury and the opportunities we see in this fast-growing segment. Through targeted acquisition, we've expanded our luxury portfolio to four brands each one serving a different, but complementary part of this segment and well positioned to help us increase our share of the growth opportunity.A fuller more rounded luxury portfolio is enabling us to have more conversations with owners around multi-hotel development and luxury residential deals. It also creates halo benefits like a stronger loyalty proposition and the ability to offer more differentiated guest stays.Taking each brand in turn, starting with Kimpton where we signed our highest number of properties in the U.S. since acquiring the brand 5 years ago. And outside of the U.S. we opened 3 hotels and signed 2 more into the pipeline as we continue to expand the brand into key luxury destinations internationally.In 2020 we have openings lined up in Tokyo, Barcelona, Bangkok and Bali to name a few. It was also a busy year for our InterContinental brand, we opened nine hotels including properties in Lyon, Hayman Island and the Maldives. In demonstrating the long-term commitment of our owners there continues to be significant amount of capital invested into the existing estate with a number of hotels currently undergoing or due to undergo refurbishment alongside a really strong development pipeline.Turning to Regent now, since acquiring the brand we've been focused on combining its deep heritage with a redefined design, hallmarks and service ethos in order to reposition Regent within the top tier of luxury. 3 properties have been signed since acquisition and remain on-track to grow the portfolio to more than 40 hotels over the long term.Finally turning to Six Senses, a key reason for acquiring this brand was its strong pipeline and the potential for IHG to use our scale and expertise to accelerate its growth in key markets globally. We're already seeing that come to life delivering the brand's highest-ever number of signings in a year including properties in London, the Galápagos Islands and the Loire Valley. We continue to see strong potential to grow the brand to more than 60 hotels over the next decade.So to sum it up, we are successfully executing against the key growth initiatives we set out 2 years ago. By making our strategic model work harder we are strengthening our business, accelerating net rooms growth and driving financial results. We are focusing on the parts of our business where it matters most, expanding and repositioning our brand portfolio, sharpening our operations and ensuring we put our scale to best use.Our business model continues to drive high-quality sustainable growth in free cash flow and remain committed to returning surplus cash to our shareholders. Whilst, the coronavirus is impacting our business in Greater China, our priority remains the health and safety of the people on the ground and remain committed to the compelling long-term market fundamentals.The fundamentals of our industry remain strong. We are confident that our cash-generative, resilient fee-based model which is underpinned by our commitment to operate a responsible business, positions us well to continue making the strategic investments that will drive our long-term growth.With that Paul and I are happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Richard Clarke of AB Bernstein. Richard, your line is now open. Please go ahead.
Richard Clarke: Good morning. So three questions for me. I guess the first one is the obvious one. What specifically are you seeing on coronavirus in terms of the impact on the Chinese hotels? What are you seeing in terms of the occupancy declines there? And then any impacts given your big Chinese footprint on the, sort of, wider APAC and wider market? And maybe expectations based on what you're seeing so far for the full year.Second question, we've seen luxury do extremely well in the U.S. in the fourth quarter. But InterContinental doesn't seem to follow that. So just wondering whether you could sort of help us on that bridge as to why InterContinental's underperforming there.And then lastly Hilton suggested a small, sort of, tentative optimism that some of that small group travel that's been impacting you so much was beginning to pick up based on their booking numbers. Is that something you're also seeing something maybe we can get a little bit optimistic about for 2020?
Keith Barr: Thanks, Richard. I will take the first and try to cover coronavirus in kind of in a broad comprehensive answer on how it's impacting the business. So again first our focus has been on taking care of our customers and our colleagues. There are some amazing things happening on the ground. Our hotels in Wuhan as I noted are actually hosting the medics. One of our hotels is making the meals for the workers that were assembled in the hospital. So we're highly engaged across Greater China looking after that.So taking a step back and just give you context about group RevPAR and impact on profit and then how that clicks into China. I think as you well know about a 1% in group RevPAR is about $13 million of EBIT on a full year basis. And this is an evolving situation in China and across the business so it's pretty hard for us to predict where it will go. It's -- China today is less than 10% of our group operating profit. We right now have about 160 hotels closed or closed to arrival.And not surprisingly we're seeing significant reductions in occupancy in the month of February across the entirety of the business. So to try to put some numbers to that. Based upon the current level of disruption year-on-year, we're seeing about a $5 million fee impact for the month of February in the China business -- in the Mainland China business. Our fee revenue for the full year is around $100 million for Mainland China. That kind of phases Q1 is one of the lower quarters and it gets progressively more as the year goes on with Q4 being one of the strongest quarters in terms of fee realization as well.So again, we're seeing $5 million in the month of February from a fee impact. Additionally as you remember, we quantified the $5 million fee income impact from the disruption in Hong Kong and that clearly has not improved and that's going to carry over into 2020 as well too. So looking beyond China, we're seeing some impact across Asia Pacific, some conference and events shifting dates from Q1 into later on in the year. There has been some cancellations. Again it's really too hard to quantify it because things are picking up and moving around the world and some things are being canceled overall.And the real question in front of us is what is this going to look like in terms of a decline and then a recovery? And we've looked at what happened during SARS. I lived there during H1N1. And SARS was clearly a sharp drop and then a sharp recovery. And then what I saw during H1N1 and other times in China -- the key thing to remember is the Chinese government's ability to stimulate economic growth and activity is unlike any other country. And so we can't tell you today is this a one-month impact, two-month impact a quarter a half? Because that will be determined by the virus.What I can say is it's a highly resilient fee model we have, and the ability for the Chinese government to stimulate demand in the second half could cause a significant uptick in performance in the second half of the year or when this normalizes overall too. So I think that gives you a bit of context about performance in the month deployments in Hong Kong and how the full year could play out depending upon the length of impact. Paul, do you want to talk about the other thing?
Paul Edgecliffe-Johnson: Absolutely. So with InterContinental in the Americas markets it is not fully penetrated into that market. So it's not in every single one of the micro markets there. If you think that we've got about 50-odd InterContinentals across the Americas as a whole quite a lot of those down in the -- in Central and Latin America. So then it becomes very micro-market-by-micro-market dependent so it's hard to take a straight apples-to-apples comparison there. I think really that's what's going on rather than anything more brand-specific.In terms of Hilton's comments on their first quarter, well, look obviously we don't give guidance. So that's the first thing. So we wouldn't comment on what they've seen in a couple of weeks. They are also obviously more penetrated into the group market -- the large group market so they have that additional forward visibility there. We're more into the smaller groups market which tends not to give us quite so much booking pace information. But that said there's nothing structurally different between Hilton's business and our business. So if there were any pickup then we'd expect that it would be relatively, sort of, linear. But nothing I can add on that today.
Richard Clarke: Maybe just a quick follow-up. I mean we've had a couple of the other companies talking about some delays in construction in China. Is that something you would also mirror with regarding 2020?
Keith Barr: So it's a great question, Richard and it's one that's hard to quantify. We've actually already opened I think five or six hotels already this year and we signed a number of hotels. So the business is still moving ahead. There clearly could be the potential for some disruption in two fronts. One is FF&E availability. So if they can't be manufactured and delivered.Secondly, if some of the workers are not able to return to the site. But this is a delay and not a stop. Remember that. So effectively there could be a slide from December into January next year or a little bit of Q4 into Q1 next year, but the long-term strength of the business is extraordinary in Greater China and it continues to reflect just the pace and acceleration of signings and openings and growth. I mean so we're long-term very, very bullish on China. And this is a short-term dip and impact that will recover as it has previously.
Richard Clarke: Great. Thank you very much.
Operator: Our next question comes from Vicki Stern at Barclays. Vicki, your line is now open.
Vicki Stern: Hi, morning. Just one more on coronavirus and then a couple of others. You touched on the sort of impact outside of China in Asia more broadly. And I appreciate that it's pretty difficult to tell with lots of things moving around. But just are you seeing anything outside of Asia in terms of sort of European or U.S. business being touched not just from the sort of Chinese outbound tourism element, but just is Asia tourism outbound overall reduced right now?Second question, on margin growth, again, sort of, trying to strip out the impact of coronavirus. If we weren't sort of dealing with that this year, would you generally be expecting this could be another year of sort of 80 to 120 bps of margin growth performance?And on cash returns, obviously, given the uncertainty of coronavirus, it's certainly not a surprise that you haven't announced anything today on cash returns, but again, sort of, trying to sort of look forward to when that might be behind us. Would you still in principle be happy operating in the upper part of that two and a half to three times leverage range at this point in the cycle? Are there any sort of acquisitions or further investments that might require any significant sums of cash? Thanks.
Keith Barr: Thanks Vicki. I'll take the first one and then I'll let Paul handle the second two questions. I guess I'll go from west to east. No impact on the U.S. And again remember that the thing about IHG is whilst we are in 100 countries and territories, we're principally domestic businesses. So, the key drivers are domestic travel and so -- and the shape of our portfolio in the U.S. is again principally in the mainstream. So, we're not seeing any impact. There's clearly going to be some level of international inbound impact to the U.S., but it would be on the margin for IHG. So, no impact on the U.S. market.Similar to Europe, I mean, again, we're principally domestic markets there. There will be some impact, but we haven't seen anything significant at all that we can even quantify. So, you're really looking much more into Greater China and then into the Asia-Pacific market in the countries that are adjacent there. And those are all being driven principally by either outbound travel from China or travel restrictions in the region. And those will really be driven by how long coronavirus is sort of in this kind of when is it considered to be contained? But again it's all manageable.And the strength of our model as you know is -- I'll come back and I'll use China as an example. We were talking about today. If you think about the China results for last year, you saw a minus 4.5% RevPAR in Greater China, but you saw us grow 2% in revenue and 16% in profit underlying.So, I mean, I think that just speaks to our focus as an executive team in the last few years of leaning into adding new brands, accelerating growth, recognizing in a muted RevPAR environment, or even macro events like this, we can still grow the business grow revenue and grow profits and that's a key focus. And so I think it's really paying dividends for us.But again, more broadly, I expect it not to see significant impact outside of that region. I'll let Paul talk about margin and cash.
Paul Edgecliffe-Johnson: Yes. Thanks Vicki. So, I mean our focus remains the same. We're very focused on costs in the business as we have been for multiple years ensuring that we make the most of what we have. We invest where it helps drive the growth and you've seen us do that and that's paid off significantly in terms of more signings and more openings.But broadly, we have the sort of cost base that we need in each of our regions. And that cost base is very scalable so as we add more hotels as we have a high level of openings; it's able to support those hotels. And that's what allowed us over the long-term to drive this very high level of margin accretion.I would expect that over time it will continue to be 80 to 120 basis points. It may oscillate. I've said that before. So, you may see it be a little bit less one year, a little bit more one year. In 2019, on an underlying basis, we saw 160 basis points of growth. And so no I don't aspire to do that every year because we need to make sure we're investing behind the strong growth that we're seeing in the business. But broadly, over time, still comfortable with the 80 to 120 bps.And then look in terms of the cash returns hopefully our philosophy and our actions over the many years shows our intent there. No change to that. Still happy to be in the top end of the range? Yes, I mean if you look at the global economy, the global economy remains strong very low interest rates around the world, lower for longer, so happy to be towards the top end of that range.And M&A opportunities or further investments, our CapEx with -- permanent CapEx around the $150 million mark is about the right level still. So, no change to that. In terms of M&A, when we bought a number of things in recent years and there's a lot of work that we want to do with those to allow them to fulfill their potential, so likely to be more focused on that than any opportunities that may come up, but they're relatively limited in the industry at the moment. And so I think we've actually managed to take down some of the best brand opportunities that are out there and our focus is on growing those organically. Thanks Vicki.
Vicki Stern: Perfect. Thanks very much.
Operator: Our next question comes from Jamie Rollo from Morgan Stanley. Jamie, your line is now open.
Jamie Rollo: Yes, thanks. Good morning everyone. First question was just on some of the sort of benefits you saw in the second half of the year. It looks like there was the LD income by full $10 million insurance proceeds, but also some of the margin growth in America and China looks very high. I mean it looks like costs fell by about 10% in those two regions. So, I'm just wondering whether some of those reverse in 2020, whether you are reinvesting the savings and whether you can continue to grow profits this year?And then on the other question was just on signings which are sort of down year-on-year for the last three quarters. And the pipeline I think it was the first drop in about a decade. So, really wondering what's caused that? Clearly openings are good. But is there any sort of nervousness amongst owner or lenders? Thank you.
Paul Edgecliffe-Johnson: Thanks, Jamie. Yes. There's a little bit of a noise and we called this out at the third quarter just to try and explain some of the things that were creating that. In terms of the insurance proceeds that you referred to really that's just our business interruption insurance making good on profit we would have otherwise received at a hotel that's off-line effectively. So it doesn't impact the continuity of fee income. It just makes sure that something that would otherwise not have been there is there.The cost savings that we've taken out through our $125 million restructuring plan are all being reinvested back into the business. And that's really important for us that we do that. It continues to drive growth. So although, you will sometimes see an element of cost may move one year from a regional cost base to a central cost base and that can explain some of these variances there's nothing that's fundamental there. There is -- we haven't been cutting costs that we need to put back in, in 2020 if that was the -- which I think was the thrust of the question.And then in terms of signings, actually very pleased with the 98,000 rooms that we signed. We did see in 2018 a supercharged avid performance. We only allowed the brand to be signed up right at the end of 2017. So there was a pent-up demand there. And so we saw a huge number of avid signings. If you normalize for the avid signings and take them out year-on-year, then it's signings in 2019 actually up 7%. So we're really pleased with that.And obviously we saw a high level of openings in particularly the fourth quarter of 2019 and that's what's impacting on the pipeline. As more rooms get open and if the openings are higher than the signings into the pipeline then you'll naturally see that just come off a little bit.
Jamie Rollo: Just on the first question. I suppose all I'm trying to ask is I mean your fee income looks like it grew by about 1% in the second half of the year underlying 1% total fee revenue. But your fee profit looks like it was up 6%. And I was wondering can that sort of -- that disconnect continue really?
Paul Edgecliffe-Johnson: Well half-on-half then there will always be some variation. You may see some things are in one half and then they're not in another. And some income that comes into one half and doesn't come into another. I think if you look at the underlying trend over the years, there's nothing particular that I'll pull out nothing that I think would impact on -- other than what we've talked about previously around some of the IFRS 16 benefits we got in the German leased the liquidated damage we received. But I think that's all out in the market there's nothing else that I'd call out today.
Jamie Rollo: Okay. Thank you.
Paul Edgecliffe-Johnson: Thanks, Jamie.
Operator: Our next question comes from Jaafar Mestari from BNP Paribas. Jaafar, your line is now open.
Jaafar Mestari: Hi, good morning. Three questions please for me. The first one just going back on the virus impact on the net openings. You sounded pretty dismissive of any impact on your openings. I think you had mentioned well maybe worst case a few of the openings move from Q4 to Q1 next year. So just to be clear on that, if there's a potential for I think one-third of your hotels are closed, if there's potential for a property to open and to be in the middle of disruptions, do you still think you're going to go ahead with most of the openings? And just to clarify if there is a risk to one quarter in 2020 in terms of openings in China, do you think it's Q4 or do you think it's actually Q1, Q2 everything freezes and the openings don't happen, but then they'll catch up in H2? That's the first question.And then just on the net openings, it's very honest of you two to flag the benefits of some of the large portfolio deals or partnerships. Just wondering over the medium term, are you going to be looking to do more of those? There's an area where my own estimate is you haven't necessarily had very large market share, which is with very large REITs doing portfolio deals. Now that the brand portfolio is more complex, more comprehensive do you think structurally you're going to do a couple of the very large 5,000-room deals every single year?And then just last question. You've talked a lot about the top three brands and a lot about the very recent launches. Maybe just a word. Is there anything on Staybridge, Candlewood even HUALUXE that you can do to accelerate the signings there similar to what you did with the very large brands in the last two years?
Keith Barr: Great. Yes, thanks very much. Yes and I didn't want to be dismissive, but it was more about our view is today based upon what we know, it's short-term delays. So again, we were talking -- our teams every single day right now in Greater China are contacting the owners, working through to the pipeline. Interestingly enough, China has our highest percentage of hotel rooms under construction at -- 60% of the pipeline is under construction. So the hotels that are under construction are going to open. It's a question of -- from month-to-month, quarter-to-quarter depending upon the season.So there may be a short-term dip in terms of system size openings in China, but these are just short-term delays and should normalize themselves because the government will be -- is highly invested in seeing the tourism industry grow in China. These properties continue to open too. So again everything we're hearing on the ground is that there's -- these are just going to be short-term delays that may materialize. Paul, do you want to talk about kind of our thoughts about the partnership?
Paul Edgecliffe-Johnson: Absolutely. So I mean in terms of the opening -- in terms of the net system size growth, we're really pleased with that 5.6%, but we did call out that that benefits from the Las Vegas Sands deal that we did back in the second quarter which added a lot of rooms. I think if you look at progression over the years, we've moved from our net system size growth being in the mid-threes now on an underlying basis to being five and we've talked about our ambition to be industry-leading. And if you look at what we're doing with signings, if you look at the scale of our pipeline then I think we're certainly on track for that. And that's after taking out a higher level of room than our competitors in the industry are doing.Over the recent years, it averaged about 2.2% and that's significantly more than others are. This quality is so important to us and making sure that we are taking out the lower performers, so that we can ensure that the guest experience is consistent and is very high. In terms of the ability to mass convert and other portfolios, again it comes down to the question of quality. So if the hotels are good enough to be under our brand then we'll certainly consider it but we wouldn't want to take in hotels that will average down the quality. So that's the key determinant really Jaafar. If the portfolio is right then we'll certainly consider it. And Keith back to you on the other brands.
Keith Barr: So I mentioned in my comments, how we're taking the learnings from the new brands avid and Atwell Suites and how we're taking the customer insights and doing that to product design to be able to move faster. And so we have now -- that team has done an extraordinary job with those brands.Now we're leveraging that. We just launched a new prototype for Candlewood and new prototypes for Staybridge, more efficient build costs, much more contemporary design to help continue to accelerate growth. But the Staybridge opened its 300th hotel last year, Candlewood opened its 400th hotel last year. Staybridge saw about 44 hotels being signed, Candlewood 22. So we expect with the new prototype, the continued great performance in the segments that we can hopefully see those brands accelerate growth going forward. They're just exceptional brands.EVEN had a great year last year. We signed 11 hotels. We really are seeing some fantastic performance in the existing estate. We're focusing on how can we refine that execution to drive even stronger returns for owners to accelerate growth going forward. And HUALUXE had a really positive year of signings as well too with a number of events and I think I have a flagship opening up in Xi'an too.So we're very focused about -- we've been really prioritizing, launching new brands to get -- to capture the segment of those markets, strengthening our existing brands and now working through the rest of the portfolio. So it's natural for us to lean into Staybridge and Candlewood and EVEN and HUALUXE going forward to maximize performance.
Jaafar Mestari: Thank you very much. And maybe just going back to the other portfolio comments. Again very honest of you to saying on a completely adjusted basis, let's say room openings of 5%. But you already flagged one-offs in 2017 and yet on the reported numbers you did see an acceleration. So is there any reason why we should say, well actually the underlying net openings are 5%. So for full year 2020, let's think about an acceleration from 5%? Or is it realistic that you accelerate from the 5.6% to reach 6%? When you say industry-leading, it sounds like it's between 6% and 7% from what industry leading peers have been doing.
Paul Edgecliffe-Johnson: So the reason for calling out that it is 5% excluding Sands is that I think that it would be fair to expect progression from the 5%, but the 2019 number did benefit from that Sands deal, which we may find other opportunities to do deals like that but we can't guarantee that. So I would expect to see progression from that.In terms of what's industry-leading, I think that if you look at Marriott they're a little shy of 5% now and Hilton are doing 6% and a bit. But that, of course, includes their master franchise with Patina, which is a slightly different -- in China, which is a slightly different arrangement.So if you normalize for that it's high-five. So yeah, I mean mid to high-fives is probably industry leading. And look as Keith has talked about before, there is potential for some shift out of quarter four, I guess of 2020 into quarter one of 2021 in terms of openings. So that may have some sort of an impact. We'll keep that under review. But certainly expect there's further potential from our 5% in terms of our net system size growth in future.
Jaafar Mestari: That’s okay. Thank you.
Paul Edgecliffe-Johnson: Thank you, Jaafar.
Operator: Our next question comes from Alex Brignall of Redburn. Alex, please go ahead.
Alex Brignall: Good morning. Thank you. Just a couple mainly on RevPAR pricing I guess. So Q3 I think Paul you called out the weakness in the U.S. would probably be maybe an early indicator that the U.S. economy might be a bit weak. And that hasn't kind of transpired but RevPAR has been a little weaker. And some of that's coming in small group I think, which the OTAs are saying that they're seeing a little bit more. So I guess does it kind of manifest? And what do you think is causing the overall weakness to RevPAR not for yourselves, but for the industry data that we see for big hotels?And then the second question. So I guess kind of comes back to that also is on brands, you've called out the increasing importance of brands Keith, but some of your peers that are based in brands are getting less important and other industries definitely argue that that's the case. So I guess I'm trying to reconcile your views on your specific brands with those that other people have said? Thank you very much.
Paul Edgecliffe-Johnson: So in terms of the quarter-by-quarter RevPAR in the U.S., we try and give the best indicators that we can as to what we're seeing in those quarters. So I talked to in the third quarter about the weakness in the small group market and also the weakness in the industrial segment of the U.S. economy, so particularly manufacturing and automotive and that that's down. Demand from sectors is down, which is if you look at what's happening in the U.S. economy, you will see that various segments are down and then other segment like the new technology segments are seeing much higher growth.So there's a mix in the economic growth in the U.S. and that then has an impact on hotel demand. And in the fourth quarter, we're seeing a continuation of those. I also called out that we're seeing an increase of supply in the Upper Midscale, because it's such an attractive proposition for guests, owners. And as more demand comes in there then owners are building more hotels and opening up more hotels. So we're seeing around 3% growth there with demand growth about 50 bps shy of that and that's having a little bit of an impact as well. That will get absorbed in due course. If you look at the forward projection, it's expected to come back into equilibrium. It may just cause a little bit of noise before we get back to the equilibrium. And in terms of brands, Keith?
Keith Barr: Yes, correct. It's a fascinating question because when we talk about brands we're probably talking something more than just the Holiday Inn or InterContinental. I think we're talking about the branded relationship of the key players. So going back to my comments, we've got 17% of existing supply about 44% of the pipeline. So clearly the industry is shifting over to the biggest-branded players for a variety of reasons. And I think it's underpinned by customers and by owners, driving it both in that direction.So from an owner's perspective, the biggest branded players, A, can create the greatest value for owners versus the smaller companies and independents. Additionally from a financing perspective, the biggest-branded players are always going to get the most preferable financing treatment from a lender standpoint as well too. And so, it's the power of scale. It's the power of our purchasing programs, driving down contributions. So, okay so, there's the owner piece pushing it to branded.From a customer perspective, it's about the totality of what we deliver with our platforms and with our brands. And so, it's going to be looking at the things of A, the scale of the company. So, we're in the locations where people want to be. So, you can have a great brand, but if you're not everywhere, then it doesn't really work from a travel perspective. And the scale that we have is critical underpinned by a great branded experience. So, each one of our brands is quite differentiated against its brothers and sisters in our portfolio. And they've gotten sharper and better overall delivering better experiences. And our customer satisfaction scores continue to go up. That's underpinned by the platform of loyalty and our technology platforms.And so it's a combination of those experiences of being in the locations, it's having the right brand portfolio, the right technology and the loyalty, which is the totality of the brand experience, which creates value and loyalty with customers. And then, you layer in other things like credit cards and timeshare as well. So, we're just much deeper ingrained into the lives of our customers than just -- and other industries where it can be commoditized quite easily.
Alex Brignall: Okay. Thanks. I guess as a follow-up to that just -- I think it relates to both questions. The OTAs are seeing a lot more small hotels, which aren't part of the STR data added to their system and those hotels are seeing kind of growth. So, is there -- do you kind of look at it and think, maybe outside of STR and the big hotels where brands are taking share, we're losing some traffic to some of the smaller properties? Or does that not kind of come into your thinking?
Keith Barr: I don't really see it. I mean, we're seeing more and more -- like when we launched voco, I mean the whole premise was that, there are a number of high-quality independent hotels that are going to want to come into the scale platform of IHG and we have 33 already out of the gate too. So, I see that being a key driver coming into it overall. So, I guess, we don't really see any impact from small independent hotels. And -- but then we can also do unique partnerships too, so, whereas with Mr. & Mrs. Smith that loyalty extension we've done from 500 of their hotels coming in as a partner for our platform. So, in markets today, where we don't have a hotel they can earn and burn. We can also show the value proposition and the strength of our platform to those hotels and who knows over time what may happen.
Alex Brignall: Fantastic. Thanks, so much.
Keith Barr: Thanks, Alex.
Operator: Our next question comes from Monique Pollard from Citi. Monique, your line is now open.
Monique Pollard: Hi, good morning everyone. Just a couple for me if I could. Firstly, just on the Macau Sands partnership. Just to be clear that doesn't generate material incremental fee revenue for the group, does it? It's just a partnership about redeeming loyalty getting loyalty members engaged? And the second question, given the impairments that we've seen in the U.K. portfolio, perhaps you can particularly address how we should expect that U.K. portfolio EBIT to progress in 2020? Is that going to be a year of negative EBIT?And then finally, when we're thinking about the net rooms growth and given that the -- as we talked about before that the pipeline isn't growing anymore. I understand the sort of 5% and acceleration from there. Are there any things that you're seeing on China? Clearly growth's still good there, but that could concern you over the next year at least in terms of the pace of signings given the level of disruption?
Paul Edgecliffe-Johnson: So, just hitting those. In terms of Macau, no, we called out at the time that this is a deal that is -- it's more like a pay-for-performance-type arrangement. So, it can generate attractive income for us. It depends on how much business comes through our channels into Las Vegas Sands complex there. So, it's a lower financial take for us than our usual rooms' arrangement because, it's a very different and complex arrangement, but it is very good for our loyalty program members and that's a key driver of that field.In terms of impairment and the U.K. portfolio, the accounting under IFRS 16 is that, that doesn't effectively hit the P&L. So, I wouldn't expect to see any impact to the 2020 impact -- 2020 P&L. And in terms of the net rooms' growth, I mean what we would quite like to see in a way is the pipeline reducing because, we are getting rooms moving through it as quickly as we possibly can because, we make money when we have hotels open. So, we are signing at a very rapid rate. And ex-avid, the signings were up 7% in 2019. The more rooms that we can get open and the faster we can do it then the more income that comes into the group. So, no I mean, there still is a lot of demand even in -- even currently we're signing a number of deals in China.
Keith Barr: Yes. No I'm just going to add on that. I was just looking at the numbers. So you think about in China, we opened six hotels in January and signed 11 hotels. In February, we already opened one hotel and signed three as of a week ago. And so I mean business is still moving ahead in China. And again as Paul said earlier, we're talking about short-term delays. And again it will depend upon the length of coronavirus and so forth. But the long-term fundamentals in China remain absolutely strong. I mean, just the scale of what that industry will look like the number of new rooms that will be added over the next decade or more, it's extraordinary. So, this is again a short-term blip in China. Maybe we should have long-term confidence in the scale and the value in that market and being a leader in that market.
Monique Pollard: Thanks.
Heather Wood: Thank you.
Operator: Our next question comes from Stuart Gordon from Berenberg. Stuart, your line is now open.
Stuart Gordon: Good morning. A couple of questions. First one, just in 2020 in deletions, should we expect this to have a run rate similar to recent years? Secondly, on avid, I mean it is doing reasonably well, but you do still seem to be trailing quite a way behind sort of True's openings and signings. Is that a gap that you think can be closed? And how could you go about that? And just on that U.K. portfolio again. It does appear as if that portfolio did miss targets by a fair bit even allowing for Brexit. Was there any sort of exceptional delays anything that was happening there that should turn around in 2020? Thanks.
Paul Edgecliffe-Johnson: So in terms of exits from the system, we've talked about before that 2% to 3% is the right sort of level of removals for us to do on a year-by-year basis to make sure that the brand stays as healthy as it can be. Actually, over the last three or four years, it's been around pretty consistent at 2.2%. And nothing that I can see in 2020 that would significantly move it outside that range. We may always see an opportunity to take out a few more hotels. And if we do and we think it's the right thing with the brand then we'll do that, but nothing that I'd call out today on that.In terms of the U.K. portfolio, when you bring on a new set of hotels and then you're converting them into your brands, which we did and so you are doing some refurbishments, doing some improvements then it is always quite challenging, and getting the hotels fully ready to come under the voco brand under the Kimpton brand took on occasion a little bit longer. We have very exacting standards and requirements before something can take on our brand. That slowed things down a bit.And we saw some cost increases in the fourth quarter. Energy costs and input costs, food costs, et cetera. And then just a lower level of demand with the uncertainty in the market that impacted as well which hopefully now there's more clarity on Brexit et cetera that 2020 will be clearer on that.And look in terms of avid we're really pleased with the performance there. It's hitting all our internal expectations. True, obviously did launch before. At the time, there was a higher level of signings in the market. If you look at our market share of mid-scale and Upper Midscale pipeline signings, and we've increased that quite significantly. So yeah, we're very happy with what we're doing there.
Keith Barr: Yeah. No, I would agree with what Paul said there. And just to put it into context. And I hate to ever give a compliment to a competitor. But remember, they were the only high-quality game in town for that segment. And so now there are two players for it. And so we're both taking up share in that segment overall and there are overall fewer signings in – happening in the U.S.
Stuart Gordon: Okay. Thank you.
Keith Barr: Thanks, Stuart.
Operator: Our next question comes from Julian Easthope from RBC. Julian, please go ahead.
Julian Easthope: Hi. Good morning, everyone. I've got three questions as well. The first one concerns the fee structure for 2019. If we take a look at it base fees increased by $18 million, incentive fees actually fell $9 million and central fees rose $15 million. So do I take it from an incentive fee perspective they fell about 6% that the IBFC of the – of your managed hotels actually fell last year by around 6%. It was obviously made up for in central fees. I just wonder, if you could give some sort of further guidance as to how that's likely to go because it's obviously about 12% of your fee revenue now?And the second question surrounds – you've also got about 5% new rooms coming through. Can we assume therefore looking at the sensitivity that you would actually need a three to four point decline in RevPAR just to maintain profits? So it would actually require quite a big RevPAR reduction to actually see a decline in profits year-on-year. And just as a point of clarification on the last bit, your China business are there any minimum guarantees in there that was likely to sort of significantly enhance the losses in this difficult period? Thank you.
Paul Edgecliffe-Johnson: Thanks, Julian. So in terms of fee structures, which – we don't have a significant amount of incentive management fee income. Our business is much more orientated into revenue share. So it's a franchise contract. And then on our – the management contracts that we have we always try to orientate that to take a share of the top line. And then there is some share of the bottom line to the IMFs as well. What you may find sometimes is on a portfolio or the previous year we've got over a certain threshold so then we get almost a super incentive fee. And if we don't achieve that in the same way in the next year then you'll see some variability. So it's not about the overall cash flow out of the portfolio and being able to read across on a more linear basis as I think you're trying to do there. It can just can be a little bit lumpy. There can be some noise in those numbers.In terms of what level of RevPAR reduction, you'd need to see to -- for EBIT to go backwards, there's always a blend in where the rooms come in. So that 5% rooms addition won't add on a proportional basis, a 5% growth in the revenues. So you're right. It's probably somewhere around that sort of 3-ish percent depending on what we were able to do on costs decline that you'd need to see before you'd see EBIT go backwards.There are levers that we can pull as we've talked about before. But structurally having the benefit of multiple levers of growth is something that we're very focused on. And in China, no our contracts are very simple there really. It's franchises or it's management contracts. So the management contracts are pretty standard. So I can't think of any that have got those sort of minimum guarantees on them. Thanks, Julian.
Julian Easthope: Thank you. Thank you.
Operator: Our next question comes from Ben Andrews from Goldman Sachs. Ben, please go ahead.
Ben Andrews: Hi, there. Thanks for taking my questions. So just one for me please. Your net CapEx for the year was about $60 million higher than medium-term guidance and about $45 million higher year-on-year even though the gross CapEx is similar. Could you provide a bit more color on the year-on-year changes in CapEx, especially the higher maintenance CapEx and how we should think about the net CapEx figure in 2020? Thank you.
Paul Edgecliffe-Johnson: So, I mean, in terms of the CapEx, we said we will spend up to around $350 million a year, but on -- but our permanently invested CapEx will be around that $150 million mark, which is a combination of key money and then maintenance into hotels, into corporate IT systems, into offices and then into any remaining owned and leased hotels that we have. So there was a little bit more CapEx that went in around the principal estates of that U.K. portfolio that we've talked about to make sure that those hotels are the exemplars of the brands that we wanted to be.Remember the whole point of doing this portfolio deal was to have the shop windows, so we can demonstrate what our brand looked like to owners. And as I mentioned earlier that's been super successful for us in terms of driving demand from owners for voco and for Kimpton.And I wouldn't see any changes to that $150 million of permanent CapEx going forward. There will always be a little bit of variability year-by-year, but I don't think the structure will be changed there.
Ben Andrews: Thank you.
Paul Edgecliffe-Johnson: Thanks, Ben.
Operator: [Operator Instructions]
Keith Barr: Great. Well, thanks everyone. Since there doesn't appear to be any more questions, I really appreciate you taking the time to join us today and look forward to continuing to engage with you throughout the year. But it's been a really solid year last year and a great momentum into this year, and we'll continue to work with our teams across the business to manage through the challenges in front of us. So, thank you very much and have a great day.